Operator: Good afternoon, and welcome to the Western Union Fourth Quarter 2018 Earnings Conference Call. All participants will be in a listen-only mode. [Operator instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator instructions] Please note this event is being recorded. I would now like to turn the conference over to Mike Salop, Senior Vice President of Investor Relations. Please go ahead, sir.
Mike Salop: Thank you, Laura. On today's call, we will discuss the Company's 2018 fourth quarter results and the 2019 financial outlook and then we'll take your questions. The slides that accompany this call and webcast can be found at westernunion.com under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in supplemental tables with our press release. Today's call is being recorded and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities & Exchange Commission, including the 2017 Form 10-K, for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to generally accepted accounting principles. We have reconciled those items to the most comparable GAAP measures on our website, westernunion.com, under the Investor Relations section. All statements made by Western Union officers on this call are the property of The Western Union Company and subject to copyright protection. Other than the replay noted in our press release, Western Union has not authorized and disclaims responsibility for any recording, replay, or distribution of any transcription of this call. I would now like to turn the call over to Hikmet Ersek.
Hikmet Ersek: Thank you, Mike, and good afternoon, everyone. Overall, our business continues to provide a stable results as our customers remained resilient despite slowing global economic growth in parts of the worlds. Results remain strong with westernunion.com transaction accelerating to 25% growth in the quarter which translated into 22% constant currency revenue increase. In addition to ongoing turn in our U.S. outbound digital business, we are also making great progress in increasing westernunion.com penetration and growth in key European markets including France, the UK and Germany. For our entire money transfer business, revenues increased 1% in constant currency. Transactions however increased 4% in the fourth quarter, and cross-border principal volume grew 8% in constant currency terms so underlying metrics are sound. Business Solutions showed improvements with revenues increasing 5%, constant currency led by strong growth in Europe. We again delivered good performance in the payments area of B2B, including the education vertical. This quarter however we also had good growth in foreign exchange services aided by customers hedging related to increased foreign exchange volatility. The bill payments businesses posted mixed results with Argentina results in U.S. dollar terms continued to be heavily impacted by negative currency translation. From a profit perspective, margins were solid at 19.2% for the quarter and 20.1% for the year as effective cost management and our WU Way lean programs contributed to stability. Operating cash flow for the U.S. came in as projected, as we generated over $800 million dollars and we returned over $740 million to shareholders in 2018 through dividends and share repurchases. We are also very pleased to announce today a 5% increase in our quarterly dividend, raising it to $0.20 per share or $0.80 percent on an annualized basis. As we begin, 2019 we remain focused on driving digital expansion and growth, offering our cross-border platform to new payments areas, and generating additional operating efficiencies. We made good progress on these initiatives in 2018. I mentioned the strong results we experienced with westernunion.com which exceeded $0.5 billion in revenues last year. Our digital expansion efforts to drive future growth also continue to ramp up as we launch approximately 20 new westernunio.com or mobile app markets over the last year particularly in Asia, Latin America and the Middle East. Consumers can now access our online or mobile services to initiate transactions in more than 60 countries plus many territories and our digital penetration covers markets that represent approximately 75% of global remittance markets principal. We believe this will give us additional future revenue growth opportunities for our digital business. In addition, we embedded digital money transfer services into more third party platforms such as Safaricom in Kenya and added large principal transfer products for our westernunion.com services in the UK. We also continue to expand our bank accounts payout services, as we now have the capabilities to send to nearly 100 countries and territories reaching billions of accounts and we are seeing strong growth in account payout transactions. The combination of our extensive retail footprint and our growing digital presence and account payout network creates a very strong proposition for consumers, providing them the ability to send and receive in whichever method and currency they prefer around the world. Looking at our progress with new cross-border payment opportunities. In October, we announced our collaboration with Amazon in which we utilize our global platform to process international e-commerce payments. Under this agreement, Amazon customers in various markets will have a new way to pay in person at our retail agent locations. Over the last few months, we have launched pilot for this service in 10 markets mainly in Asia and South America. Coverage in these markets is not being increased and we are working with Amazon on the expansion roadmap for additional countries in the future. Turning to our operational efficiency accomplishments, the WU Way continue to help us around the Company better. We implemented more than 40 lean deployments last year, trained more than 6,000 employees on lean processes and achieved approximately $70 million in run rate savings from WU Way driven efficiency programs. These savings helped fund investment in growth initiative technology and core sufficiently such as GDPR. In 2019, we will continue to push forward these strategies. On a macro level, there is uncertainty on economic growth in many parts of the world as well as foreign exchange had been and geopolitical concerns, but we expect stable financial performance in 2019. Our business is very diverse with 20,000 corridors and no one country outside the U.S. representing more than 7% of our revenues. Historically, our customers have been resilient even in challenging economic times. Our transaction and principal transfer helped exiting 2018 and we expect that to continue. We believe the pricing environment will remain stable and do not expect major pricing changes in 2019. Overall, our 2019 outlook calls for a low single digit constant current revenue growth and operating margin of approximately 20% and continue strong cash flow generation and return of funds to shareholders. Raj will give you more information on the 2019 outlook in a few minutes. And right now, I would like to turn the call over to him to provide more details on the fourth quarter results.
Raj Agrawal: Thank you, Hikmet. As I review 2018 financial results, I will focus primarily on the fourth quarter. The similar information for the full year can be found in our press release and the attached financial schedules. Fourth quarter revenues are $1.4 billion decline 3% or increased 2% on a constant currency basis compared to the prior period. Currency translation net of the impact from hedges reduced fourth quarter revenues by approximately $69 million compared to the prior year, primarily due to continued decline in the Argentine pesos. The decline in the peso are negatively impact the total revenue by 4 percentage points, while they expect some inflation on our Argentina businesses is estimated to have positively impacted both reported and constant currency revenues by approximately 2 percentage points. In the consumer to consumer segments which represented 80% of company revenues in the quarter, revenues declined 1% or increased 1% constant currency while transactions grew 4%. Total C2C cross-border principal increased 5% or 8% on a constant basis while principal for transaction was flat or increase 3% constant currency. The spread between C2C transaction and revenue growth in the quarter was 5% with a negative 2% impact from currency. Mix had a negative impact of 5.2 percentage points in the quarter while pricing had a negative impact of 1% compared to the prior year period. The 1% pricing impact primarily reflects action taken in the Middle East earlier in the year. Excluding the Middle East, the net pricing change for the rest of the world was positive both for the quarter and the full year. Turning to the regional results, North America revenue was flat on both, reported and consequently basis while transactions grew 2%. The U.S. to Mexico quarter delivered strong revenue growth in the quarter, but this was offset by continued decline in the U.S. domestic money transfer business. In the Europe and CIS region, revenue increased 1% or 2% on a constant currency basis, led by France and Spain, while transactions in the region increased 8%. Revenue in the Middle East, Africa and South Asia region declined 7% on a reported basis or 6% constant currency, while transaction growth improved to 3% as the previously implemented price reductions are delivering good results and driving volumes. Latin America and Caribbean region continued to deliver strong constant currency revenue growth driven by Argentina, Ecuador, Peru, and Brazil. Revenue in the region was flat in the quarter or increased 16% constant currency, while transactions grew 11%. In the APAC region, revenue declined 9% or 8% constant currency and transactions were down 4% with Australia, China, and New Zealand contributing to the decline. Westernunion.com continued to deliver strong growth as revenue grew 21% or 22% constant currency on transaction growth of 25%. Westernunion.com represented 12% of total C2C revenue in the quarter and for the full year. Business Solutions revenues increased 3% or 5% on a constant currency basis and represented 7% of company revenues in the quarters. Other revenues which consists primarily of our bill payments businesses decreased 11% in the quarter or increased 10% on a constant currency basis and represented 13% of total company revenues. The Pago Facil walk-in business in Argentina continued to grow transactions and local currency revenue aided by inflation had declined in U.S. dollar terms while our Speedpay U.S. electronic bill payments revenue also declined in the quarter. The depreciation of the Argentine peso negatively impacted other reported revenue by 21 percentage points in the quarter while Argentina inflation is estimated to have positively impacted other reported and constant currency revenues by approximately 11 percentage points. Turning to the margins and profitability. Our consolidated GAAP results reflect from significant special items, primarily in the prior year. So I am providing the adjusted metrics comparisons to better reflect the fundamentals of the business. The adjusted metrics in the current quarter excludes the impacts of tax expense related to changes for the accounting of the U.S Tax Act. I refer you to our press release tables for a detailed listing of the adjustment items amounts for the prior year quarter and full year. The consolidated operating margin in the fourth quarter was 19.3% up from 18% in the prior year on an adjusted basis. The adjusted operating margin expansion was driven by lower bad debt marketing and incentive compensation expenses which were partially offset by higher other corporate expenses in technology spending. Foreign exchange just provided a benefit of $4 million in the current quarter compared to a negative impact of $7 million in the prior year period. We achieved approximately $10 million of incremental savings from WU Way initiatives in the fourth quarter, which gave us approximately $45 million of incremental savings for the full year. On an absolute basis, we achieved approximately $70 million of savings from Wu Way for the year. EBITDA margin was 24.2% in the quarter, which compared to 22.5% in the prior year period on an adjusted basis. The GAAP effective tax rate was 9.8% in the fourth quarter. On an adjusted basis, the tax rate was 6.3% compared to 14.3% in the prior year period. The decrease in the adjusted tax rate was primarily due to discrete item in the current year period. As we previously stated, certain of the impacts related to the Tax Act enacted in December of 2017 were provisionally estimated an additional affects we recorded during each quarter in 2018. In the fourth quarter, changes in our estimates related to the Tax Act resulted in an $8 million its tax experience. The accounting for the Tax Act was completed during the fourth quarter, so there will not be any additional adjustments going forward. Adjusted earnings per share in the quarter was $0.49, which compared to $0.41 from the prior year period. The increase in adjusted earnings per share was primarily due to the increase operating profit margin, a lower effective tax rate, and fewer shares outstanding partially offset by lower reported revenues. The C3C margin was 23.3%, which compared to 21.5% in the prior year period. The margin increase was driven by lower bad debt marketing and incentive compensation expenses, which were partially offset by higher technology standard. Business Solutions operating margin was 5.4% of the quarter compared to negative 3.2% in the prior year period. The increase in operating margin was primarily due to high technology and other operating expense in the fourth quarter of last year. Business, we should EBITDA margin was 16.2%, which compared to 8.1% in the prior year period. Operating margin for the businesses included in other was 1.8% in the quarter, which compared to 7.9% in the prior year period. A year-over-year margin decline was primarily due to lower revenue and higher corporate expenses as certain corporate expenses including spending for M&A and other strategic actions and activities are recorded within other. Turning to our cash flow and balance sheet. Cash flow from operating activities was $821 million for the full year, which includes the negative impacts of approximately $200 million related to payment on special items. Capital expenditures in the quarter were approximately $91 million. At the end of the quarter, we had cash of $973 million in debt of $3.4 million. We returned $133 million to shareholders in the quarter including $84 million in dividends and $49 million of share repurchases, which represented approximately 3 million shares. The outstanding share account at quarter end was 441 million shares, and we had $544 million remaining under our share repurchase authorization which expires in December of this year. Turning to our outlook. We expect stable financial performance in 2019 despite a slowing global economic environment. Similar to 2018, we expect a low single digit constant currency revenue increase excluding any benefit related to Argentina inflation. Due to the strength of the dollar against the Argentine pesos and major European currencies, we expect recorded revenue growth to be in a range of a low-single-digit decrease or low-single-digit increase. Operating profit margin is expected to be approximately 20%. As we continue to focus on cost efficiencies and lean management communications to offset investments and some negative impact from foreign exchange. We expect an effective tax rate of approximately 17% to 18% in 2019 including negatives incremental impact from the U.S. Tax Act's BEAT provision. We have identified in our in the process of implementing structural actions to mitigate the adverse impact of deep for the future. The 2019 laid out looking through partial benefit from our mitigation efforts as they are rolled out during the year. We currently expect the effective tax rate in 2020 to be lower in the mid teens level, reflecting the full effect of mitigation. Due to the increase in tax rate with this year, our 2019 outlook anticipates full year earnings per share should be in a range of $1.83 to $1.95. While cash flow from operating activities is expected to be possibly $1 billion, as we have mentioned previously, we are currently considering various strategic alternatives for certain of our business unit, but do not have anything to announce at this time. And there is no assurance any transaction will occur. If we were to complete a divestiture during the year, our outlook would need to be adjusted to reflect the related revenues and profits that would be removed as well as the impact of any use of proceeds. So to summarize, we delivered our full year adjusted financial outlook in 2018 and made good progress on key strategic initiatives. We continue to generate solid cash flow and return significant capital to shareholders through dividends and repurchases. In 2019, we expect stable business, solid margins and continued strong allocation to shareholders. Operator, we are now ready to take questions.
Operator: We will now begin the question-and-answer session. [Operator instructions] And our first question will come from Tien-Tsin Huang of JP Morgan.
Tien-Tsin Huang: Just on -- I’ll start on the dotcom business, you've mentioned acceleration. You've mentioned new countries. I'm curious if you have an outlook for 2019 and what is it driven by? Is it again, more country expansion? Or are you just getting more penetration within your existing countries?
Hikmet Ersek: I think both will continue to do that because our U.S. outcome digital business is very strong and these are done by not the existing customers, but these have been here for a longer time. And as you know, we are also in the European Union countries longer time with our westernunion.com transaction. So that's going to continue. But we’re also very excited finding new customer segments in our new countries, and once you launch your country, takes the time with the marketing activities and you mean customers, but the growth rates are very promising. We came with Q4 also with a 25% transaction growth, which is also very encouraging. We are just starting in Middle East and Asia with our expansion. I think, that's really encouraging numbers, so that gives us additional channels and still these customers are new to us. Additional customer doesn't cannibalize our existing business.
Tien-Tsin Huang: And just so my follow-up quickly, just I want to ask on Wu Way. I heard the $70 million in savings, but how -- where are you now in terms of potentially seeing better revenue production from Wu Way? Where are the investments going? May be just a quick update there?
Hikmet Ersek: Yes, I think we’re still very excited about Wu Way initiatives. I think there's still room from efficiency side also from growth opportunities how we implement that. Our focus is definitely on digital growth and we do -- when we launch in new country, we do launch with Wu Way initiatives. The Amazon Pay -- for our platform to Amazon, the collaboration with Amazon was done all via Wu Way and that has been launched 10 countries now, and we’re just starting to promote that in different countries. And from the efficiency side, I still believe there's some room and you know we gave our guidance about 20% margin for 2019. And while we do this efficiency program, we do invest also in the growth that we’re going to continue to happen. And we are -- Wu Way is definitely the way we operate.
Raj Agrawal: And Tien-Tsin on those $70 million, that is our full run rate. We don't plan to call out any further savings there, but we will keep driving for lean and operating efficiencies and keep reinvesting in the business.
Operator: Next question will come from Bryan Keane of Deutsche Bank.
Bryan Keane: I wanted to ask about the regions. In the North America region, I see transactions accelerated in the quarter at least year-over-year from 1% to 2%, but constant current you see revenues went down a couple points, and then EU and CIS similar. Transactions remain the same at about 8% but the constant currency revenues dropped to couple points. Just curious, what's causing that? And is that the mix that you called out there?
Raj Agrawal: This is Raj. In North America what you're seeing on the revenue side is, it's a growth over from higher foreign exchange spreads we had in the previous year fourth quarter, and some of those spreads were reversed during the course of the year. But transactions growth as you mentioned continue to accelerate, so that's good. Our U.S. outbound business actually did quite well. We had 7% transaction growth there which has been accelerating during the course of the year, but some of the pricing and mix impacts had the impact that we're referring to. And then the Europe and CIS, the dotcom business overall grew very well during the course of last year and in the fourth quarter and also our DMT business in France. So, those have some mix impacts. The slowdown in the fourth quarter is again related to higher FX spread that we had earlier in the year in those markets that we reverse part of those. So, transaction trends have been quite healthy and just some of our mix in pricing impacts are having the revenue impact that you're seeing there.
Bryan Keane: And then, Hikmet just thinking about the new opportunities that you're talking about for cross-border, is there a way to quantify that in terms of revenue opportunities those could produce?
Hikmet Ersek: We don't give that revenue guidance there, but I believe there's a new opportunity for additional customers like we did it with the westernunion.com. These customers like the offering our platform to third party like Safaricom or Amazon Pay are really new customers that we didn't offer that. And that's the only way they can do transactions because if you're in Brazil, the local currency owner, is it in form of card or cash, you can't do international transactions because you can't use your credit card, international credit card. There is no international credit card, but the people want to buy online, want to buy global and pay local. And that's really our platform which we developed over years enables that. Technology wise, compliance wise and settlement wise do that. So we are very excited about that and Amazon is definitely a partner, but there are other also opportunity to extend our platform to new payments capabilities. Paying local, buying global is definitely something you are excited about.
Operator: And the next question comes from Darrin Peller of Wolfe Research.
Darrin Peller: Just when you go into the mix impacts, hey, on this C2C segment that drove the two points of difference between transaction growth and revenue growth and I think you've mentioned one point pricing. Can you just explain a little more around the mix you are talking about? And then, when we think of '19 outlook, just if that's going to persist that kind of a mix impact is going to persist?
Raj Agrawal: Darrin, the mix is something that we don't really try to forecast. It's difficult to forecast. It's difficult to forecast. It really is related to where the growth is coming from. It's mostly geographic mix around the world. So what it means ultimately is that, we're getting faster growth and lower revenue per transaction corridors and that's what you're seeing coming through. It varies a little bit, this time it was minus two and it also have to do with product mix, but mostly it's a geographic mix issue that's showing up there. So it's not something that we try to forecast overall, but our revenue outlook envisions whatever might happen there.
Darrin Peller: Okay. I guess just a higher level question then. We're seeing very strong growth of the dotcom business continue and to your point accelerate, and I guess it just feels like at some point there should be an inflection where it's big enough to more than offset some of the headwinds that you've seen, whether it's on mix or it's on pricing, and potentially something that starts to align more with the volume growth across-border or even the transaction growth on cross-border you're seeing, which is higher than revenue. When did -- can you give us a little idea as to when you think that could really start to show and materialize, so that the digital side is big enough for you that it offsets other areas?
Raj Agrawal: Well, digital -- our wu.com business is, it's obviously a much larger than it was a few years ago. It was over 500 million last year, but it's still only 12% of consumer revenues. So, it's going to -- I don't know when that inflection point is -- clearly digital, we still see very strong growth opportunities. Retail, we think will be a flattish type grower, maybe low single digits. But you know, we've had negative growth in some of our other areas, which is really what's driving it down. WU is accelerated, which is good, but our bill payments businesses were negative. Generally speaking, so we need to get better overall performance there. If we could get those mid single digit type of growth and that gives us good flexibility in what we can do overall. So not just digital, digital certainly has to be there, but other components of our business also have to perform a little bit better than they have done.
Darrin Peller: Is there anything -- I am just going to leave it at this, but anything more you think that's possible to do from a restructuring standpoint? Beyond this, potentially, the B2B business we've talked about, maybe it's a sort of a domestic money transfer or anything else that can be done around a restructuring that could help the overall growth profile, the more near term manner?
Hikmet Ersek: I think yes, I mean, we’re looking constantly about to structure opportunities growth areas and on the efficiency margin part. Obviously, in the retail money transfer business, as Raj described earlier, I think it's going to -- we have a good market there and it's going to get flattish, but the growth will come from digital environment. And it's only the 12% of our revenue, it's the largest by far in the digital money transfer environment and the countries we rolled out, they will come also, adding additional customers. So I think if you're really keeps the customers on the retail side and add customers from the digital side, our C2C business is quite solid and will drive the growth. I think you have to really look at our payments parts, payments business. And on the payments parts, the volatility loss three months helped us and the B2B business, but that shouldn't pay the payments business, C2C business growing very well and we are building on that. We have to seek some the BMC and the domestic business and the SpeedPay domestic business has been a challenge, right. And that has an overall impact to our company's performance and the domestic businesses has been something we are focused enough to turn around.
Operator: And the next question comes from Jim Schneider of Goldman Sachs.
Jim Schneider: The Latin American region is one that continues to put up very good revenue growth for you. I think you talked about the U.S. outbound and the Mexico in particular. Can you maybe kind of a call out A, any other countries or geographies that really contributed to that? What initiatives you have been doing in other countries? And then B, to what extent that was held by the addition of wu.com in those quarters?
Raj Agrawal: Jim, this is Raj. The Latin America revenue growth is really the outbound growth some Latin America, it starts that you're referring to now that we've mentioned by Argentina, Ecuador, Peru, Brazil, so we've had quite healthy growth in some of those other markets even though Argentina was impacted on a reporter basis by the currency devaluation there, other markets have been doing quite well in that region. So the conditions are quite good, it's a relatively small piece of our overall revenues a lot of times about 9% of total C2C revenues. So, we've seen continue good performance at least on a constant currency basis. But -- and then in terms of dotcom and certainly a focus that we have in terms of the expanding dotcom presence in Latin America, so that's really what we're focused on.
Hikmet Ersek: Yes, I think, Jim, generally C2C business has been stable especially the cross-border. C2C business is really stable. Latin America, as Raj said, this s a smaller part of our business, but we had also a strong growth in despite besides U.S. up and also Europe. UK, Germany and France have been going very well. But we also see now good transaction growth in the Middle East. As you recall, Jim last year, we implemented some promotions there. Now, they are showing good returns. I think that's also a good sign and shows how stable our business is. So, digital growth is definitely driving the top line, but also there are very stable numbers in the retail manufacturing business.
Jim Schneider: And then maybe as a follow-up. Some of your payments peers have noted a notable slowdown in cross-border travel and while I understand most of your trends are driven by migration which are longer term things. Are you seeing anything in the business as you start Q1 that gives you a little bit of pause in terms of a potential macro slowdown and to what extent is that baked into guidance?
Hikmet Ersek: Well, macro environment is definitely challenging, but as you look at our business, we are in 200 countries, you have 20,000 corridors. So, we clearly are -- our portfolio play in our case, right. So, we though actually don't see big changes in our economical environment in the retail manufacture business. On our dotcom business even stronger as continue to happen, the strong growth and Q4 exit was very good, especially as I mentioned earlier in transaction and the principal amount which was constant currency. Principal was about 8% growth in Q4. And so, I think the environment stable. However, there are some concerns and global concerns on the economical environment.
Operator: And next we have a question from James Faucette of Morgan Stanley.
James Faucette: I wanted to follow up on wu.com and as you're expanding into markets and corridors, what are you having to do from a pricing perspective to encourage and attract volumes? And how should we think about the pricing opportunity sets over time? I guess that’s my first question.
Raj Agrawal: This is Raj Agrawal. When we expanded to new markets, we really look at the digital business as being new incremental revenues to us. So, we go into any new market, making sure that we priced competitively with whatever else might be available in terms of that similar service. We have a very unique service offering because the majority of our revenues payout at retail locations, even though they may be digitally initiated. So, we do try to price competitively and it doesn't really carry the legacy of the retail business. So, it's a new incremental business to us. We priced very competitively, we tried to get the business, and it's really about marketing and acquiring new customers more than anything else in terms of -- it's not really driven by the pricing. We're going to make that a competitive offering and then we just need to talk consumers about the offerings.
James Faucette: And then from a 2019 outlook, you've guided roughly 20% margins. 2018 in different parts of the year, you were a bit focused level. So could you talk to what would be the puts and takes that would allow you maybe to put back above 20% potentially in 2019?
Raj Agrawal: Yes, I mean we are comfortable with our 20% margins. It could be a little bit above, a little bit below or just depends on how things play out. If you look at the pieces, we are investing in the growth opportunities like digital life, the relationship we have with Amazon. We're also investing back in regulatory items like privacy and other areas. And then when we are in a low growth environment like we are and we have negative FX impacts, gets more challenging to get leverage on our cost structures. So, we do need to get revenue growth overall to be able to drive better margins, which is our objective. But for this year, we're comfortable with the 20% level.
Operator: The next question comes from Jason Kupferberg of Bank of America Merrill Lynch.
Jason Kupferberg: Just wanted to start on C2C, I know the constant currency rev growth there I think came in at 1%, a little bit below recent trend and the comp is kind of tough in Q1. And so, I just wanted to get a sense of how we should think about the near-term trajectory on C2C in constant currency terms?
Hikmet Ersek: Yes, I mean, we don't give outlook on a specific business units, Jason. But if you just think about the pieces, the retail business is likely to be a flattish type grower. And digital, we continue to soon as good growth opportunities there and it's going to become a bigger and bigger piece. So, I think the consumer business overall will be solid and stable. And really is about getting good growth in the other areas, but the consumer business should be relatively stable. The underlying transaction trends have been good, so we've had some variation due to pricing and mix factors, last year in the fourth quarter, but for while the underlying metrics have been solid.
Jason Kupferberg: And then just in terms of sensitivity in 2019 guidance, I mean, if we just think about some of the macro uncertainties out there. Hypothetically, if there was to be, let's say, a hard Brexit. Is that -- would that be a material issue for Western Union as there been any risk adjustment in the 2019 forecast for that scenario? I mean it just seems like to do some size remittance market overall, so wanted to get your perspective?
Raj Agrawal: Yes, from an operational standpoint, we're very well positioned, we were ready to operate under a number of different scenarios, and you can't predict exactly what the outcome will be. Economically, I don't know exactly what you expect, but I would say overall for Europe, we assumed slightly software environment. But from an operational standpoint, we're ready to go regardless of what scenario plays out.
Hikmet Ersek: Again, we believe that we are prepared. We've been working on that. I think operational replacement and customer wise, we don't see any issues in here. And just from the risk side, I mean, as I mentioned earlier, none of our countries are bigger than 7% of our revenue outside of the U.S. So, we operate in 20,000 corridors and I believe that we are very well positioned to despite the economic challenges. Globally, we are well positioned to respond and we believe we can have a stable 2019.
Operator: The next question comes from Ashwin Shirvaikar of Citi.
Ashwin Shirvaikar: I guess my question is on operating margin. Raj, you mentioned lower bad debt. Is this some action you've taken maybe big data analytics type of stuff? What's feeding to this -- can you comment?
Raj Agrawal: No, I would say, Ashwin, that's really a one-off item we have and that's a special item I would say that helps us from the bad debt side. But overall, from a bad debt standpoint, we do pretty good job of managing -- some of it is currently using data analytics. But generally, we manage the risk in our business quite well. And most of our business is on a good firm's model. So, there's not really too much that we have to deal with there, so I think we're in good shape.
Hikmet Ersek: The bad debt was primarily high bad debt expense in the prior year quarter, so the comparisons were just favorable.
Ashwin Shirvaikar: And then the other question with regards to the cross-border principal growth. I was just kind of wanted to delve a little bit deeper into that. What's driving that? Is it sustainable? Is it specific deals, channels? Is it any -- is it reflective of any integration related concerns people send back money to their home countries? Any anything detail on that?
Hikmet Ersek: I think on general, overall business, we had a good U.S. to Mexico business doing well. I would say that our principal amount in Middle East turning around, as I mentioned earlier, the transactions growth has been good. So it impacts the principal amount also. And European business has been stable also. As you know, we have some issues in the U.S. domestic manufacturers business, but that's not the cause for the principal. And generally, the cause for principal has been a good environment and the market growth has been healthy and I think the people are using cross-border transfer and thank God they're using Western Union and going to continue to use Western Union.
Ashwin Shirvaikar: That sounds like deal mix then?
Hikmet Ersek: Yes.
Operator: And our next question is from Jennifer Dugan with SunTrust.
Jennifer Dugan: I'm on for Andrew Jaffrey. Looking at the B2B and other revenue growth, both appeared very healthy but the margins in both were a bit weaker. Can you just go into some of the dynamics there?
Raj Agrawal: In the B2B business, you're looking at the third quarter comparison and margins, third quarter to fourth quarter, first. In the B2B business, we just benefited in the third quarter from timing and expenses. So, that was really just related to timing. I would say the overall margin for the full year were around 6% for the B2B business or EBITDA margins close to 17%, which is more representative of the overall margins there. And then, in the other revenues or other area of our business, we did have lower overall revenues in that business, but we also had other corporate expenses because certain corporate expenses that are for strategy or M&A costs fall into the other part of our business reduced. That's where we record them so that impacted the margins as well.
Jennifer Dugan: And then, one other thing I wanted to talk a little bit more, I know you've mentioned some of the tech investments, around digital, and some of these opportunities with Amazon in addition to some of the regulatory expenses. But looking more at the tech investments, what is the timeline for some of these investments, timeline to getting them done and then the return timeline?
Raj Agrawal: So, the digital investments will be ongoing. Our strategy there is really to drive growth and expansion all over the world. So we're going to it's a continual effort to improve the features and functionality in our platforms. We're launching new sites all the time. And so, you know, that investment will continue for the digital expansion. We're also leveraging our platform for new opportunities like the Amazon relationship. So there's some spending that goes with that. So, we continue to invest in the technology area and that's really to drive long term growth and expansion and so that's really our strategy.
Hikmet Ersek: I think from also -- if you are already in a country like, U.S. or Europe, it’s a digital which we invested already, it's wining new customers, expanding in the marketing wise, really making commercial on the digital. And if you launch in new country, there were we do investments, and as Raj mentioned the earlier, we want to be in 200 countries like we are in our retail money transfer business. We want to be also with our digital business in 200 countries and we are expanding that. That's one of our biggest competitive advantage is connecting 200 countries with 200 countries and using our payout network and retails with 560,000 locations but also buildings of accounts. We can drop money really monetarily very fast in accounts directly on more than 100 countries. So that investment is going and you could see in the numbers, the growth numbers are coming from digital investments.
Operator: The next question comes from Ramsey El-Assal of Barclays.
Unidentified Analyst: This is Ben on for Ramsey. I’ve had a question on the U.S. outbound, you’ve mentioned that it had grown quite nicely and then accelerated over the course of the year. And I guess, I'm just sort of wondering, what's going right? Is it more digital revenues is kind of taking more if you're going to piece of the whole or taking share or can you kind of parse that out a little bit for us?
Raj Agrawal: Yes, it’s a number of things that are going well there. There's some pricing and mixed impacting the revenues overall, but the transactions growth has been accelerating. Dotcom, U.S. outbound and their digital business has been going very strong. And U.S. to Mexico was also very strong. And, that was be offset by some other things but those series have been very strong. And our price positioning for U.S. outbound is very competitive to your other offerings. And so, I would say it's a combination of those three things to cross-border wise, U.S. outbound to other countries has been doing quite well for us. And there is some impacts of revenue from mix in pricing, but otherwise, the transaction terms and principal terms have been healthy.
Unidentified Analyst: And then just on the tax rate, you had mentioned that you expected to come down a little bit in 2020. Can you give us any sense of like, the timing over the course of 2019 will there be some like a step down quarter-by-quarter? Or will it be a little more unpredictable and any color you can give there will be great?
Raj Agrawal: Yes, we're very pleased with the solution that we're putting in place for the BEAT issue that came about as part of U.S. tax reform. It was really causing unwarranted double or triple taxation on a portion of our U.S. outbound business. So, we are implementing a solution, it's going to be implemented during the course of this year. I don't have a quarterly tax rate to give you. But certainly, it's going to be implemented during the course of this year. And next year, we see our tax rate falling back down to the mid teens level for really to foreseeable future given the current tax environment that we're in. So, we're very pleased with that outcome.
Operator: And the next question comes from Vasundhara Govil of KBW.
Vasundhara Govil: I guess my first question was on the free cash flow guidance. I guess you guys are guiding to slightly better free cash flow even though revenues are expected to be flattish and margin stable. So what's driving that better conversion?
Raj Agrawal: Our operating cash flow versus for about $1 billion in 2019, and last year in 2018, we had $200 million of special type items that we paid for, and that's why the operating cash flow last year was just over $800 million. So, that's the primary difference overall in the operating cash flow.
Vasundhara Govil: And then in terms of the EPS outlook, what are you guys including in terms of contribution from share buybacks? And more broadly could you talk a little bit about your appetite for M&A and how it fits into your capital allocation authorities? Are you looking at deals actively and if so what types of targets are you'll be, would you be interested in?
Raj Agrawal: We don't give a specific amount for share buyback or the impact to EPS. But if you look at the last years, we've been buying between $400 million and $500 million of stock each year. Basically, we've been returning 100% of our freight free cash flow back to shareholders through both buybacks and dividends. And so, I expect that we're going to be active again in 2019, and then in terms of M&A strategy where we're always looking for the right kind of acquisition that fits within our cross-border payments strategy. We would love to do that kind of digital type of acquisition, but it has to be at the right price. And it has to really -- whatever we really do it has to advance the ball for us. We have a great platform. We have great capabilities. So whatever we do, it has to really give us some additional capabilities that strategically within our strategy.
Operator: Next, we have a question from Tim Willi of Wells Fargo.
Tim Willi: I had a couple questions on digital and then one on Amazon. But in terms of thinking about digital and the impact around the margin discussion, if I do the math correctly right now it appears that the digital channel is effectively driving all of the revenue growth in C2C. Would that be correct, if we just think about this contribution and its revenue growth rate, the digital sort of this all growing channel for C2C while sort of the traditional business, if you could sort of call it flattish or slightly down. Is that correct first of all?
Raj Agrawal: Yes, digital is going to be the key growth driver not only for us when we lead in the market, long-term.
Tim Willi: So if you think about like in a 12%, I know that there's always lots of moving pieces around margins and scale and investing and expanding that franchise, but is there a way to think just conceptually that by the time digital is at a 20% or 25% of revenue for that C2C. Is that sort of way to think about the inflection point about letting the scale and the growth of digital and that what should be inherently pretty attractive margin start to show through? I know you’ve always said it's profitable just not at the same sort of levels, the rest of the business. But I think you've always sort of said at some point it should be a higher margin business, if any updates on that thought process over the next several years?
Raj Agrawal: Yes, I mean -- it's a great question. We're in heavy investment mode in that business. If you separate the marketing and technology, which is a much heavier concentration than the rest of our business we're spending in marketing technology for the long-term growth of this business. And so, you know, today the margins are lower than the rest of the Company and that continues to be the goal until we get broad expansion all around the world with digital. But when you look at the contribution margin on a percentage basis, and I think we've mentioned this before, the incremental margins are actually similar in both the retail and the digital business, right? It depends on how much money you're sending and the corridor that's involved. But the profitability of a transaction in from a percentage basis is actually quite similar to our retail business. So it can be a very profitable business you can drive the profitability up overnight if we wanted to, but that's not really the strategy we have is really continue to grow our business to 200 countries and territories. And then at some point it will be a better contributor to our overall profitability. And especially as we have more account channels, you know, accounts two accounts capabilities that we're building there that will also help the overall margin profile.
Tim Willi: Yes, it makes sense I totally understand. It sort of curious, if there's a way we could sort of think about a mile marker that, okay or that’s a billion dollars of revenue, we should really start thinking about digital having a positive upward impact on margins. But I can understand, there's a lot of to go on between point A to point B, when you get there. My follow was just sort of on Amazon. I think over the years, you know, again you guys struck partnerships and tried to leverage this vast network your brand and your competencies around cross-border and risk management, some with mixed results, some have announced and I don't think necessarily there's been a ton of follow through I guess we point to over the year, but obviously Amazon is Amazon. So I guess I'm just sort of curious when you think about this partnership relative to other agreements that had been struck over the many years, how you feel or how this evolution maybe different than this potentially could be something where, hey, this actually has really or had an impact it really leverage the brand of the network of Western Union better than other kinds?
Hikmet Ersek: Yes, I think, we are very excited about the opportunity with the largest global online marketplace, right. I mean, and I think Amazon wants to get to the customer segments and really offered their products to the new customer segments and they have the product and using our platform. Our platform is uniquely invested over the years and we are very proud of our platform. Not many companies have licenses, so operating 200 countries and we do have it not many companies can settle in 137 currencies, acting 130 currencies we have it. And that's technology that regulator environment puts us in a unique position to offer our platform to Amazon. Now it's a new product as you know, it's nobody did that earlier. We are the first doing this, and partnership with them. We are testing it. It's very promising. It a $600 billion market for online shopping. And I think that millions of customers don't have an excess on that. And we hope that our platform will help Amazon so for their products to new customer segments.
Operator: Okay, the final question will come from Bob Napoli of William Blair.
Bob Napoli: First question just on the domestic money transfer business. And I know that's been a challenge. How big is that business now? And how much is it declining? And do you expect that to continue to decline over the next few years?
Hikmet Ersek: Yes, I think as you know, Bob, hello, how are you Bob? That's a quite challenging business because there's a domestic money transfer business, there's some pricing pressure. And but there are some loyal customers still using that because they want immediate cash at our senior locations payout and there are customers are loyal and saying, it is about 8% of our C2C business and it's a declining business. And but there are some loyal customers who use that sending money online for instance paying immediately in cash. It's quite attractive for many customers.
Raj Agrawal: Bob, we not disclose the groceries on that but it was about 9% of C2C revenues in 2017. So it's down from 9% to 8%.
Bob Napoli: Then Western Union is invested in the education vertical, I think in payments and you talked about payments, Hikmet, being the healthy business for you. Can you give an update on the education vertical and what the opportunities are in that business? And I think there's some good competitors out there as well.
Hikmet Ersek: Yes, there are some competitors out there definitely, but it's a great business for us. We acquire globally universities and universities are attracting more and more foreign students. Foreign students, if I was going through that, in Spain for instance, there are about 200,000 Chinese students studying in Spain. Along that number puts things in prospect, there are millions of millions of students going abroad and studying, and they want to pay their tuition, local currency and study abroad in their universities. And we enable that. Now, we are a few countries with our student pay, with mostly in Anglo-Saxon countries. But also we're expanding our university acquisition constantly to offer the product to the new segment. I'm particularly excited about future of Western Union. Once we build this C2B abilities, we could do that also besides the university also to other verticals. I think that gives us a unique position to do the cross-border payments for many needs of many customers because we can handle 137 currencies.
Bob Napoli: Can you give us any feel for the size and growth rate of that business?
Hikmet Ersek: We don’t particularly break that business, but the main growth on the B2B, this quarter, we had good also trading business but main growth of the B2B comes from the payments part of the business. And it's something that we're very excited.
Raj Agrawal: Yes, just within B2B it's about half of the business comes from refer to those payments and half of it comes from the basic FX services. Education vertical is one of the businesses within payment. So, we don’t disclose specific size.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.